Operator: Good morning. And welcome to the Stericycle Inc. Third Quarter 2021 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Andrew Ellis, Vice President of Investor Relations. Please go ahead.
Andrew Ellis: Good morning. And thank you for joining Stericycle's 2021 third quarter Earnings Call. On the call today will be Cindy Miller, our Chief Executive Officer; and Janet Zelenka, our Chief Financial Officer and Chief Information Officer.  The discussion today includes forward-looking statements that involve risks and uncertainties. When we use words such as believes, expects, anticipates, estimates, may, plan, will, goal or similar expressions we are making forward-looking statements. Forward-looking statements are prospective in nature and are not based on historical facts, but rather on current expectations and projections of our management about the future events and are, therefore, subject to risks and uncertainties.  Our actual results could differ significantly from those described in such forward-looking statements. Factors that could cause our actual results to differ are discussed in the safe harbor statement in our earnings press release and in greater detail within the risk factors in our filings with the U.S. Securities and Exchange Commission. Our past financial performance should not be considered a reliable indicator of our future performance. And investors should not use historical results to anticipate future results or trends.  We disclaim any obligation to update or revise any forward-looking statement other than in accordance with legal and regulatory obligations. On the call, we will discuss non-GAAP financial measures. For additional information and reconciliation to the most comparable U.S. GAAP measures, please refer to the schedules in our earnings press release, which can be found on Stericycle's Investor Relations website at investors.stericycle.com. The prepared comments for today's call correspond to an earnings presentation, which is also available at Stericycle's Investor Relations website. Throughout the call, we may reference specific slides from the presentation. This call is being recorded, and a replay will be available approximately 1 hour after the end of the conference call today until December 2, 2021. To access a replay of the call, dial 877-344-7529 and enter replay access code 10160097. A replay of the webcast will also be available on Stericycle's Investor Relations website. Time-sensitive information provided during today's call, which is occurring on November 2, 2021, may no longer be accurate at the time of a replay. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Stericycle is prohibited. I'll now turn the call over to Cindy Miller.
Cindy Miller : Thank you, Andrew. Good morning, everyone. And thank you for joining our third quarter earnings call. Overall, our results of the quarter demonstrate that we continue to execute on our key business priorities. We delivered on our quality of revenue initiatives, driving organic revenue growth in Regulated Waste and Compliance Services. We also achieved an important milestone in our transformational journey the launch of our ERP system. I couldn't be more proud and excited to share some of the benefits of our team members and customers will begin to experience because of this new platform. At the beginning of August, we went live with the ERP capabilities for Secure Information Destruction in North America for our operational and commercial processes as well as our overall North America financial and procurement processes. Today, more than 5,000 team members are using the new ERP across 8 key business processes, transforming us to a modernized data and technology environment. The improved processes encompass the following: Market to quote, which is how our commercial organization identifies and onboards new customers and manages contracts and renewals; source to pay, which includes our procurement of goods and services and the payment of vendors; hire to retire, which includes the technology and processes we use to manage our global workforce; order to cash, which is how we process customer orders all the way to invoicing and cash collections; collect to dispose, which includes the comprehensive processes to service our customers; customer experience, which is how we manage the overall relationship with our customers; plan to perform, which involves the planning, forecasting and monitoring of business performance; and account to report, which is how we close our books and report our financials. Our focus for the fourth quarter is to continue tuning and enhancing the platform. While it is still early in the rollout, let me outline a few of the impacts and improvements we're beginning to see from the ERP.  One, we have improved the quality of our automated data flow. The technology-enabled data flows are moving us towards more streamlined and automated processing of our business, which we anticipate will improve service, optimize the deployment of assets and minimize the need for manual intervention. Two, we have also launched an enterprise data lake that is being filled with data from the new systems. We are excited to begin harnessing the power of this data lake, which provides powerful analytic capabilities, including capturing daily revenue and cost trends. We believe this information will drive better real-time operational commercial decisions leading to optimized business performance. Three, we are improving our customers' experience. We have expanded our digital customer experience capabilities for enhanced and simplified customer onboarding and service delivery, streamlining sales and customer service processes and expanding self-service tools to deliver an integrated customer experience. Four, we are scheduling in servicing our North America Secure Information Destruction customers through the ERP with 98% of orders being automatically routed to our dispatch system, a significant improvement over prior processes, which included manual intervention. Our new technology allows us to automate scheduling and route rebalancing, which we expect will result in route optimization and greater efficiency. Five, we are invoicing North America Secure Information Destruction customers through the ERP. The system is also providing real-time insights into revenue trends by facility location. The power of this technology is its ability to organize, process and present data which will enable us to better understand our customers and their needs. Six, we are processing both Secure Information Destruction and Regulated Waste and Compliance Services' North America vendor invoices through the new system and leveraging the technology to remit payments. Our North America vendors and their invoices are being routed through our source-to-pay system following automated workflows that help ensure appropriate review and approval prior to payment. We now have a fully automated flow of receipts and payments into our general ledger, giving us daily insight into expenditures. Seven, we are closing our books in the new ERP which was designed with an effective and efficient control environment in mind. The ERP automates several key controls, automates numerous manual journal entries and streamlines our overall close process. Additionally, we built a new profit and cost center structure that will enable future insights into profitability. We are early days in harnessing the power of this technology and the value of the data generated. And it's going to take time for us to unlock the full potential. But we are encouraged by the system improvements we've experienced so far. We have made great progress in the last 3 months and will continue to work over the next several months on fine-tuning the system and our processes as we build efficiencies in our operational execution. Looking ahead to the North America Regulated Waste and Compliance Services' ERP deployment, we couldn't be more excited. The Secure Information Destruction deployment has taught us many things. And we will leverage those learnings for the North America RWCS deployment in 2022. I couldn't be more proud of how our team members came together for this deployment and for their adaptability to a new way of working. Turning to our quality of revenue initiative. We delivered another quarter of overall revenue growth of 2% and organic revenue growth of 4.4%, which is in line with the revenue growth range provided last quarter.  Regulated Waste and Compliance Services had organic revenue growth of 6.8%, comprised of 6.9% growth in North America, as we continue to see recovery in maritime waste services and elective surgeries, and 6.2% growth in International. Overall, Secure Information Destruction revenue declined 1.1% as North America revenue declined 3.4%, mainly due to the complexities associated with this large-scale ERP deployment.  This decline was partially offset by 14.7% growth in International. We are encouraged with month-over-month improvements in revenue within Secure Information Destruction as we make this system a part of everyday life. We are pleased to see improvement from August through September, which has continued into October. Moving to operational efficiency, modernization and innovation. I'm excited to announce that our new Northern California regulated waste facility came online during the third quarter. This is an important achievement that secures and strengthens Stericycle's medical waste capabilities in Northern California and furthers our commitment to sustainability. This facility provides a 75% capacity increase to better serve the health care needs in heavily populated Northern California.  This strategic location is expected to improve our network by reducing vehicles, fleet miles driven, fuel consumption and emissions. This modernized automated facility also is anticipated to process waste more cost-efficiently, improve employee safety and be more reliable. We believe its opening enhances our ability to grow our business in the region and improve customer service. As mentioned last quarter, Stericycle is not immune to the impacts of inflation, a tightening labor market and supply disruptions. These factors continued to impact us in the third quarter primarily resulting in higher labor costs and delays in receiving services and materials for our capital expenditure projects. On September 1, we divested our operations in Japan for approximately $11.3 million. The team continues to make strong progress, executing on our portfolio optimization initiative as this marks our ninth divestiture since 2019. Proceeds from this divestiture were applied toward debt reduction. I will now turn the call over to Janet to review our financial results.
Janet Zelenka : Thank you, Cindy. I will start by summarizing our third quarter results. As noted on Slide 5, revenues in the third quarter were $648.9 million compared to $636.4 million in the third quarter of last year. Regulated Waste and Compliance Services organic revenue growth was $30.4 million. And the positive impact of foreign exchange rates was $5.8 million. These increases were partially offset by the impact of divestitures of $21.6 million and a decline in Secure Information Destruction organic revenue of $2.1 million. As noted on Slide 6, Regulated Waste and Compliance Services revenues were $461.7 million compared to $449.1 million in the third quarter 2020. Excluding the impact of divestitures and foreign exchange rates organic revenues grew 6.8% in the third quarter.  North America Regulated Waste and Compliance Services organic revenues grew 6.9%. Of this 6.9% growth, approximately 3.7% was driven by quality of revenue initiatives, approximately 1.4% was due to an increase in maritime waste services revenues, approximately 1.1% was from an increase in the average weight per container, which we believe was due to increased elective surgery waste, and the remaining 0.7% was primarily from COVID-19-related revenues. International Regulated Waste and Compliance Services organic revenue growth was 6.2% in the third quarter, the vast majority attributable to higher pandemic waste volumes. Secure Information Destruction Services delivered revenues of $187.2 million compared to $187.3 million in the third quarter of 2020. Organic revenues declined $2.1 million or 1.1% due to North America results. In North America, Secure Information Destruction organic revenues decreased $5.6 million or 3.4% compared to third quarter of 2020. This decline was due to ERP startup challenges, which included team members learning new processes and technology across every aspect of the Secure Information Destruction business and onboarding and tuning the flow of new data elements to the system.  We saw a continuous improvement in our team members' performance as they leveraged the technology and data flow during the quarter and into October. In North America, recycled paper revenues were up 11.5% or about $2 million compared to the third quarter of 2020. The increase in recycled paper revenues reflected higher SOP pricing offset by lower SOP volume, which was primarily driven by our ERP challenges. In International, Secure Information Destruction organic revenues increased 14.7% compared to the third quarter of 2020. This was mainly due to increased service stops as this business continues to recover from COVID-19. Loss from operations was $50.6 million in the third quarter compared to a loss from operations of $55.8 million in the third quarter of last year. The improvement was mainly due to lower year-over-year divestiture and impairment losses. This improvement was partially offset by an estimated aggregate FCPA settlement accrual of $61 million, typical start-up challenges associated with the ERP deployment of approximately $13.2 million, ongoing IT operating expenditures from our new ERP of $10.8 million and higher labor costs of $5.4 million. In the third quarter of 2021 we spent $20.2 million related to the ERP with about 70% in operating expenditures and 30% in capital expenditures on track with the overall annual estimated spend I shared in previous quarters.  U.S. GAAP net loss was $66 million or $0.72 diluted loss per share compared to a net loss of $81.2 million or $0.89 diluted loss per share in the third quarter of last year. The difference was mainly related to improved loss from operations of $5.2 million, as explained earlier. Cash flow from operations for the 9 months ended September 30, 2021 was $202.2 million compared to $365.2 million in the same period of 2020. As illustrated on Slide 8, the year-over-year decrease of $163 million was mainly driven by 2020 favorable nonrecurring variances of $141.1 million as itemized in prior quarters and broken down in detail on Slide 8. And net working capital changes of $21.9 million. Adjusted income from operations was $72.5 million or 11.2% as a percentage of revenues down from $101 million or 15.9% as a percentage of revenues in the third quarter of last year. Adjusted income from operations declined 470 basis points due to start-up challenges in deploying the ERP of approximately 200 basis points, higher ongoing IT operating expenditures associated with the ERP go live explained during last quarter's earnings call, contributing approximately 170 basis points, higher labor costs of approximately 80 basis points and the impact of divestitures of approximately 20 basis points, mainly driven by the divestiture of expert solutions in 2020. Adjusted diluted earnings per share was $0.44 compared to $0.68 in the third quarter of 2020. As illustrated on the bridge on Slide 9, the $0.24 decline was due to the following: $0.11 unfavorability from ERP challenges, $0.09 unfavorability associated with higher ongoing IT operating expenditures due to the ERP go live as explained during last quarter's earnings call, $0.04 unfavorability from higher labor costs, and $0.04 unfavorability from divestitures. These were partially offset by $0.04 favorability from other, mainly driven by lower incentive compensation expense. Our third quarter DSO as reported was 59 days, compared to a DSO of 50 days in the third quarter of 2020. When excluding divestitures as of September 30, 2021 from the trailing 12 month DSO calculation, DSO was 60 days in the third quarter of 2021 compared to 54 days in the third quarter of 2020. This difference is primarily due to a onetime deferral in the North America Secure Information Destruction customer invoicing schedule and subsequent collections due to the ERP deployment and increased revenue compared to prior year. Capital expenditures for the 9 months ended September 30, 2021 were $85.8 million, compared to $94.7 million for the same period last year. For full year 2021, we anticipate spending $110 million to $120 million in capital expenditures. This represents a change from our previously shared range of $140 million to $160 million mainly driven by expanded time lines to complete these projects due to supply chain delays. However, if there is any movement in supply chain opportunities we will take advantage of them and increase spending in the last 2 months of 2021. Free cash flow for the 9 months ended September 30, 2021 was $116.4 million compared to $270.5 million in the same period of 2020. The $154.1 million decrease was due to lower cash flow from operations as explained earlier. As shown on Slide 10, at the end of the third quarter, our credit agreement-defined debt leverage ratio was 3.4 times, an improvement from the 3.75 times as of September 30, 2020. Net debt was reduced by $125.6 million through the 9 months ended September 30, 2021 to approximately $1.62 billion. During the third quarter, we renewed our credit agreement with a new maturity date of September 30, 2026. This provides a $200 million term loan facility and a $1.2 billion revolving credit facility. It also allows for a maximum debt leverage ratio of 4.25 times in any fiscal quarter ending before September 30, 2022 and 4 times thereafter. Although we still operate with uncertainty due to the evolving recovery from the pandemic, I would like to provide some insights into what we are seeing emerging related to fourth quarter revenues, free cash flow and anticipated ERP-related expenditures.  After normalizing for the impact of divestitures on revenues in the fourth quarter of 2020, which were approximately $18 million from ExpertSOLUTIONS in Japan and excluding the impact of foreign exchange rates, which have been favorable on revenues for the past couple of quarters we anticipate generating organic revenue growth in the mid-single digits in North America, offset by lower International Regulated Waste and Compliance Services revenues, which we anticipate will begin normalizing compared to fourth quarter 2020 due to COVID-19 pandemic impacts.  These trends are expected to result in a low single-digit year-over-year consolidated organic revenue growth rate in the fourth quarter of 2021. Additionally, in the fourth quarter, we anticipate generating at least $45 million in free cash flow. Regarding the ERP. As Cindy mentioned, we have launched the North America finance and procurement portion of our ERP and completed our deployment for Secure Information Destruction. As noted on Slide 11, we are on track to spend approximately $75 million to $85 million on the ERP implementation in 2021 which is in line with the ERP spending range I previously shared. Incremental costs incurred in the remainder of the year will support system optimization and continued work on Regulated Waste and Compliance Services. For the third quarter, we had $10.8 million of additional ongoing IT operating expenses associated with the ERP. And we anticipate incurring $30 million to $35 million for the full year.  Beginning in 2022, we estimate the total annualized ongoing operating expenses for running the new system to be $50 million to $60 million. The 2022 ongoing IT operating expenditure ranges are in line with the estimates I previously provided. As a reminder, we plan to implement the North America ERP for Regulated Waste and Compliance Services in 2022. Finally, we remain committed to our long-term outlook, as summarized on Slide 12. I will now turn the call back to Cindy.
Cindy Miller : Thank you, Janet. This quarter highlights the commitment and dedication of our team members as they executed on our key business priorities, deploying the technological foundation for Stericycle's future. We're excited to begin leveraging the new system to deliver on our expected long-term outlook, driving organic growth, operational efficiencies and improved cash flow.  We are extremely proud of our recently released Corporate Social Responsibility Report. The report highlights many of our recent achievements, including how we support long-term social and environmental sustainability, updates on some of our new facilities, investments in technologies to reduce our consumption of natural resources and our commitment to diversity, equity and inclusion.  As always, I'd like to thank our team members, our customers, the communities we serve and our shareholders for their continued trust and having Stericycle protect what matters. Operator, please open the line for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Sean Dodge of RBC Capital Markets. Please go ahead.
Sean Dodge : Yeah, thanks. Good morning. Cindy, you mentioned some of the early capabilities or system improvements from the ERP deployment thus far. It sounds like automation is a big part of it. Are there any numbers you can put around how much labor this frees up for you either in the near term or over the longer term? I guess, how much does this -- the new ERP help kind of take some of the pressure from the tight labor conditions off your shoulders?
Cindy Miller : Yeah. I think -- Sean, thanks for the question. There are a couple of things. We're still early days in terms of that. But any time that you automate your data flow, you're taking manualness out of your business. Any time you're developing a data lake, you're going to get more information in order to be able to make some real-time decisions. Any time you are automating and helping with your -- optimize your routes, any of your route rebalancing. Any time you're engaging in a more digital fashion with your customers. Obviously, that brings the types of results that you're talking about. And I even look at our control environment. This is going to give us even a stronger control environment. When you automate a lot of the key controls, you automate and remove manual journal entries, just to name a few. I think, obviously, the system is going to give us what we're all expecting. I think it's early days in terms of putting the specifics to it. And quite frankly, we have just a third of the business on the ERP right now with the Secure Information Destruction side, with two thirds of the business coming with regulated waste. But I can say right now on early adoption. Really excited about how the team has adapted. I think we've all read and we've all been very focused on ERPs and what makes an ERP successful. And oftentimes, you learn by reading what has made the ERPs fail. And I think adoption -- the adaptation to the new way of doing business, the focus by the team the resilience.  And then also, how are you seeing your improvements from the initial rollout? What are you seeing day after day, week after week and then month after month? And right now, we've seen improvements. And I think meaningful improvements from August to September, and they've continued from September to October. There was even quite a difference between the first 2 weeks of October. And what we're seeing as we're gaining more momentum for the last 2 weeks of October. So for us internally, we're very excited about what this technology is going to bring. And to your question more to come when we get a larger portion of the business on so that we can use this to make sure that we guarantee our -- and work towards our long range plan.
Sean Dodge : Okay. And then the organic growth challenges in the quarter. Janet, you mentioned related to the ERP. Is that just naturally how these deployments go that you've got some temporary disruption in lower productivity when you introduce new systems? Or was this more kind of an isolated operational hiccup? And I guess what I'm getting is that should we expect something similar in regulated waste when those modules -- or is that part of the deployment itself could implement?
Cindy Miller : Sean, I'll start. I know Janet can give maybe a little bit more color. Janet has really been leading the charge for us with her having her CIO hat on at the time. But a couple of things to think about. So when I talked about market to quote, that means everything changed for -- right from a salesforce person on how do you engage with the customer? How do you input the information into the system? How does it flow through? What screen do you put somebody's address in? We think those things are simple and basic. But just think about if you've gone into 7-Eleven and they said, I'm sorry, we just changed our computer system. I have to figure out how to hit the button for a soda -- fountain soda? All of those things are different.  So what happens is we had an opportunity where it did slow down the process. But it didn't break the process. We've changed how we do business. So for us, the excitement is as people develop the rhythm of the new system as people develop the shortcuts of how they know to flip from one to the next, as that data -- as people know where to look for data in the system on what page, on what screen, where do I find this? As drivers get more familiar with the handheld that tells them -- that looks different. That gives them different directions that tells them different things. And the business develops that rhythm and adopts it and then starts to make it better. That's the momentum that we'll ride moving forward. And I would say one thing, too, Sean. The best thing for us that we've learned in terms of lessons, a couple of things. That we're resilient and flexible. And that this workforce can handle just about anything. And we've learned much about data. And what do we need to do in order to prep the data even better for the RWCS rollout.  And then the other thing I think, that we will have next year, that we didn't have at the beginning of this rollout is right now we have 5,000 current employees trained across multiple systems with a knowledge base that they're developing. And we'll have that core group of folks to help lean on and to help roll out the RWCS whereas day one, August 1 this was new to everybody. So I think all of those things position us well for 2022.  Janet, I'm sorry, I may have gone -- I'll turn it over to you if there's any other points I may have missed.
Janet Zelenka : I'll just directly answer your question, Sean. These are typical. Your data and the ability of people to learn a new system, it just slows things down. I think I may have talked about that in past quarters. And then they gain speed as they gain familiarity, as Cindy suggested.  And then the data, you're loading millions of data records from the old systems that were disparate into the new system. And they have to be tuned and flowed and people have to understand them. And then we're loading a whole data lake with those as well. So these are what we classify as typical challenges. And I'm actually pleased with the speed of recovery from those normal challenges that you see in an ERP. And I think that's due to our hypercare methodology that we use, where we had people really focused and a ticketing system to quickly resolve any issues that came up so we could recover quickly.
Sean Dodge : Okay. That’s very helpful. Thanks again. 
Cindy Miller : Thanks, Sean. 
Operator: The next question comes from David Manthey of Baird. Please go ahead.
David Manthey : Thank you. Good morning, everyone. My question's on the SID startup challenges here. What were the nature of those missed revenues? Is that just drivers missing stops or something? And then second, does that $5.6 million does that include both the stop fees and the recycling revenues on the back end?
Cindy Miller : Yeah. That's a great question. I'll share with you just what we've seen. So what we do know is, and as we've said many times and we learned this a good bit through the pandemic. That the Secure Information Destruction side we get paid when we provide a service. So you have a speed at which your requests and your service requests come through your pipeline.  And in yesterday's world, it was very manual. You'd have a printout sheet and then a new order would come in and somebody would call you and a dispatch person would write it on a piece of paper. And we had all the lack of optimization and all the people driving close to somebody else and around the corner and all of those types of things. We made a commitment to this system. And to us if data doesn't come through the system as quickly as it did before for all the various reasons that Janet had talked about that means the drivers may have done a couple of stops less than normal because the system didn't produce it at the time of dispatch. So as you fix the pipeline, as you fix the input through which your data must go through, you start to get back to normal levels. So for us a transaction equals an opportunity to get revenue. So it isn't about not having demand. It isn't about any of those things. It's about our internal ability to make sure that demand for service gets to the front line. So we've seen steady improvement from August to September and September to October. So it's more from that perspective in this type of business where it is transactional in nature.
David Manthey : Okay. And then given that the service revenues are -- those are sort of missed. They're gone, but the volume may still reside. Is that the right way to think about it that you could theoretically pick up greater volumes when your drivers do get there? And then finally, last question, would you be able to release the tons of paper you picked up in the quarter? Is that something you'd provide to us?
Cindy Miller : On the first part, Dave you're spot on. So if I normally come out and I should have gotten there on a Thursday in the month of August. And I didn't get there and it didn't come through the system for me to get there until the following week.  You're right, the opportunity would be that maybe the bin is a little fuller. So I think you're spot on in terms of those transactional stops where we had an opportunity to swing our way back to it, if you will. And in terms of tons. We don't have it. And we won't be able to -- we don't release it by quarter. I can tell you I know we finished 2020 at around 550,000 tons of paper down front. That was down from a 2019 average of anywhere from 700,000 to 750,000 tons. And I think, Janet, I think that was -- those are the only numbers that we had released up to this point in time. Is that correct?
Janet Zelenka : That's correct. We did see, as I mentioned in my remarks that tonnage also is impacted a bit in the quarter. But not -- it's more due to the ERP because if you pick up less paper, you have less paper to recycle. But nothing from a trend perspective. I think the first half year is what we did release was appropriate.
David Manthey : Okay. Thank you very much. 
Cindy Miller : Thanks, Dave. 
Operator: Next question comes from Michael Hoffman of Stifel. Please go ahead.
Michael Hoffman : Hey, Cindy and Janet. So I'm going to try and dissect the same conversation a little differently. In 2Q you shared that you were down year-over-year 10% in stops. So this is a multipart question. This is the humor of trying to ask 2 questions and ask 5 at once. So what is the exit momentum on stops at this point? I get it, you disrupted the stop number's got to be greater than the 10%. But what's the exit momentum or where are we in October? What was the customer reaction to this? And I'm going to ask it differently. There's got to be lessons learned where you don't repeat some of this in medical waste when you do this in '22. That's the first question.
Cindy Miller : All right. I like the multi-question. So I tried to write down and keep track.  So I think let's start with lessons learned. Any time you learn as much as we are learning about data, not just data that comes out after you've completed a transaction or after you've done something, but about how to cleanse the data how to understand -- how to make it fit through a pipeline. What's the bandwidth required? Who's putting in PO boxes when they don't work in the system? Where are the orders going that aren't necessarily making it into a driver's handheld? What are the forensics on all those things? That's a learning journey. And I think when Janet talked about hypercare, we've had folks that have worked 24/7 literally, albeit sleeping in the building and have done just an unbelievable job of taking big rock, big ticket issues and getting those completed and fixed in 1 or 2 or a couple of days. That was really incredible to all of us. And so those learnings, they're going to help tremendously as we get into RWCS. When we talk about a customer reaction. I look at something just as simple as this. This technology, we've been able to upgrade and revamp a lot of our websites for the engagement that we have with our customers. And this helps with demand capture and generation. And we've seen very positive results since the launch.  That's not to say that initial start-up with phone calls coming in, Hey, where's my person? He's normally here. Of course, the company goes through all of those things. But I think in terms of overall, we're always upset if we interrupt one customer's routine. We want to be seamless. We want to be the business that nobody thinks about that, hey, we're just there automatically. We do our thing. We help you protect what matters, and we're on our way. So for us, we're certainly getting ourselves back towards a normal engagement from a customer experience. But I think in terms of opportunities, customers are really liking it. And in terms of exit momentum, I think what we're seeing is, as we've seen before. And we use this as kind of a barometer. As we've continued -- as the world has continued to recover from the pandemic, the demand for our shred services has continued commensurate with the opening up of whether it's facilities or economies or businesses. And we saw that continue.  And what we saw in August and into September was disruption due to -- we couldn't catch as much that was coming to us. But we are getting better, and we're seeing sequential improvement in August to September, September to October. And like I said, even just the difference between the first 2 weeks of October and the last 2 weeks are very, very encouraging for us. And I think that's the best I can say with reference to momentum that we're building.
Janet Zelenka : And I just wanted to add. You said 10% down year-over-year. We were up actually in Q2 30% up over the prior year in North America organic growth Secure Information Destruction. We were down 10% to what we viewed as sort of benchmark before COVID of 10% -- down 10%. I just wanted to clarify that.
Michael Hoffman : And that's what I meant. And where is October compared to that number? Are we back to that number? So we've made up -- we're back to a normal pace?
Janet Zelenka : So we are encouraged with the trend saying that the demand is coming in. We're not ready to release that. We're still working on all the data flows et cetera. But we are encouraged by what we're seeing through the quarter.
Michael Hoffman : Okay. So question number 2, medical waste. In the 3.7% part of the total you had a very strong comp serve last year. So how does that 3.7 compare to that comp? What's in it? What's it made up of? And in the 1.4% maritime, how does that compare to versus if it went to zero. So where am I getting back to the pre-COVID maritime? 
Cindy Miller : So let's talk about the 3.7. Anytime you're getting quality of revenue growth and anytime you're getting any type of organic growth, that's a good thing.  If we take a look at the comparables Q3 2021 to Q3 2020, remember regulated waste stayed -- it's an essential service. It was the complete opposite of the story that we saw because of the pandemic with Secure Information Destruction.  So we were seeing opportunity and growth. And we were trying to take advantage of the COVID growth whether it's in pop-up testing centers and all the different kind of ancillary things that the healthcare network set up in order to deal with the pandemic. But we did see growth.  And here we are now continuing with solid growth. If you take a look at the overall 6.9% growth from an organic perspective here in North America, overall for the company 6.8, I think comparing that to Q3 of last year shows that we continue to drive the value and be an important service to the customers.  I think maritime being up, as Janet had said a 1.4% shows that it was basically zero. Last year it was zero. So it is coming back. And remember, maritime for us, and you know this better than anybody, Michael. It's got to be an international boat. It's a cruise ship that has to hit international waters for it to really play into being -- providing waste for us.  So I think as we see any of that continue to open up, that's a good sign for us.
Janet Zelenka : Yeah And Michael to maritime, there's still upside potential in maritime. It is just starting to recover as cruise ships went. So that's an encouraging sign that we see it up, but we're not back to normal run-rates by any stretch.
Michael Hoffman : Okay. Thanks. 
Operator: The next question comes from Scott Schneeberger of Oppenheimer. Please go ahead.
Daniel Hultberg : Hi, good morning. It's Daniel on for Scott. Thanks for taking our questions. Could you please provide an update on what you're seeing with pricing for the large and small customers? And the ability to offset some of the cost pressures you're seeing in labor, in particular? Thank you.
Cindy Miller : Sure. I think what you're targeting or what you're getting to. And I know Janet can add some color there is our ability to maybe pass through some costs in terms of what we're seeing with the headwinds right now in the economy whether it's with supply chain or labor shortages or just an overall challenging cost environment. So I think the good news for us is we've made concerted efforts over the last two and half years with our quality of revenue initiatives to improve and standardize the contractual language. We didn't have that before. So now we at least have levers that we can engage within -- with our customers through the contracts, where we have the opportunity to potentially pass through some of the cost. But like many other companies have mentioned, I think the main issue is the difference in the speed at which you can pass through cost versus the immediate real time effect your feeling of prices increasing right now. So I think more to come on there in terms of what we're working on. But just know that we do have it in our sights in terms of the contractual language and our opportunity to pass-through some of the headwind costs we're seeing.
Daniel Hultberg : Got it. Thank you. And on recycled paper prices and recycled paper overall, I think it was up 11%, you said with higher pricing offsetting the lower volume. Can you please talk about how you see that going forward both with respect to prices and the recycled paper revenue? And if you can draw an update on the surcharge program and its impact please? Thank you. 
Cindy Miller : Yeah. I think in terms of the recycled paper. We do see a continued demand for it. And it kind of followed. As the world opens up. A good bit of the recycled efforts of the paper that we do provide the paper mills goes right into whether it's the retail industry for napkins and paper towels and the like.  So as more demand and as the world continues to open up from that perspective obviously, the demand for paper increases. So I think as we continue to see economies open to some degree, there will continue to be that demand. And for us, in terms of the surcharge, ours as you will recall is a tiered surcharge. Wherever the RISI rate comes in, then there's a kind of a fee structure associated with it that would get passed through to customers.  And it's meant to not just have one constant price that -- or one constant fee for customers to have to face, especially if the price of paper continues to rise. So what we do see is it has been helpful for us, especially when paper at the end of 2019 had gotten down as low as $85 a ton. Obviously, that helped to smooth out some of the volatility. And as we see the ability of paper to continue to rise we get more based off of the value of the paper. Therefore, the amount that we are receiving from the surcharge would reduce a bit. Janet, any other color on the specifics?
Janet Zelenka : In terms of the surcharge and our coverage of our revenue in North American Shred it, we've got about 60% of the revenue now covered with that surcharge, which gives us a really nice leverage point in terms of mitigating any risk with SOP paper pricing which right now is a tailwind for us.
Daniel Hultberg : Yeah. Very helpful. Thanks so much. 
Operator: The next question comes from Jeff Silber of BMO Capital Markets. Please go ahead.
Jeff Silber : Thanks so much. I just want to go back to the Shred-it business. I know you talked a lot about the ERP deployment. But has the slower pace of office opening impacted that business at all? I know we're seeing this in almost every city.
Cindy Miller : That's a great question. But one of the things that I would look towards is this, Jeff. We've seen steady improvement since the bottom of the pandemic effect on our shred business which was Q2 of 2020.  As the economy is open, we've continued to see steady improvement. And we did right through from January of this year even through July. And talking about as services as companies come back, our services are there. So I think we all thought many businesses and professional buildings were going to open whether it was in August or September and then there was a deferral of that. But combined with that, we saw steady demand for our shred business. And schools weren't opened yet. So as we got into right now, schools are open, which is one other piece of the total puzzle. But you're right. The big box offices aren't fully staffed or open to whatever the new normal is going to be yet. And to be fair, we look at that as yet another tailwind for us. Another opportunity for us to continue to provide service and work towards that transactional service fee revenue.
Jeff Silber : Okay. Sorry, another question. I mean ERP start-up challenges. I know you don't have a crystal ball, but whatever you have is better than what we have. Any idea when the startup challenges will be behind you?
Cindy Miller : I think if you take a look at where we are today in comparison to where we were August 1. I can tell you there's -- that in terms of calendar, it was only 3 months. In terms of effort energy and blood, sweat and tears, it felt like it could have been 3 years. We've grown and we continue to grow. I think we fully expect to see that continual improvement. And then Jeff, I think the other thing that comes when you can say are you through it is how well are you now adapting to the new data to the new world and to the things that you're learning so that you can improve the customer experience that you can figure out how to get the next customer that much better?  So for us, we're looking at everything from improved demand generation, how we're capturing demand, greater accountability towards and visibility towards -- into the pipeline and into how we continue to drive business. So I can't say exactly when it's going to be over. But I can tell you that we march steadily towards normalcy.  And let's be fair, we're talking about Secure Information Destruction a 3.4% decline here in North America. And we've paid close attention to many other companies and what they may have experienced looking at the massive type of deployment that we've had. And we're very pleased with where we are, well positioned to continue to grow in the future.
Jeff Silber: Thanks so much. 
Cindy Miller : Thank you.
Operator: [Operator Instructions] And our next question comes from Kevin Steinke of Barrington Research. Please go ahead.
Kevin Steinke : Good morning. I just wanted to follow up in RWCS related to your quality of revenue initiatives. How far along would you say you are in rolling those out in terms of them actually touching your customer base? I'm just trying to get a sense as to what sort of growth legs we have and what sort of runway we have with continued growth coming from quality of revenue initiatives.
Cindy Miller : I think when you set up the right initiatives and the things that you're looking at, they're set in stone, number 1, to get you organized and to get you functioning. And then after that they're set to make sure that you get continual improvement.  Any time you make organizational changes or you centralize RFP processing or you get more disciplined because you now have a pipeline and you get more disciplined in your pipeline management. Any time you're leveraging sales and sales intelligence or you're realigning incentive plans to -- towards what you're targeting.  Any time you do those things and you now have daily analytics or sales activity that you can look at by sales team, you're going to get better. So for us in regulated waste, we have a long-term outlook that we talked about from a 3% to 5% growth rate. Regulated waste plays a very big portion of us being able to achieve that. And that's coming off of many, many years within this company of decline. So for us to see that and continue to drive things forward, I think the quality of revenue initiatives are here to stay and will help us continue to improve. Janet, any other color?
Janet Zelenka : No. I think that covered it, Cindy.
Kevin Steinke : All right. One other quick question. You've talked about this pool of data you're accumulating from the ERP or I guess a lake as, I believe, you called it. Did you feel like you have to hire more to be able to really mine and analyze that data and get the insights and the business improvements you'd like to out of that? Or is that something you can handle with your existing staff?
Cindy Miller : I think Kevin, that's a great question. And one of the things talked about. It's interesting to be in a business that's becoming a data company that quite frankly, here we are at the turn of the century and still had not been to the degree that most of the other companies are. So you're right. Where do you get the analytical capability to take a look at data glean important pieces of it and then be able to set business plans and operations and utilize it for planning and forecasting and just basic decision-making. I'm pleased to say, while many of our folks that currently work at Stericycle some folks may not have always had access to that data. But I'm very pleased with the talent that we've brought in, that's the talent that we've had that have been with the company maybe just a shorter period of time, but maybe longer than me as an example that came with the skill and the ability for maybe a previous employer, where they understand and know what to do with data. So I think it's going to be a combination. We always want to make sure that we provide opportunity to our internal folks, which we continue to do. And then as we get into some of the other pieces of goodness that we can get from all this data, we will bring in top talent when we see we have a need.
Kevin Steinke : Okay. Thank you. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Cindy Miller for any closing remarks.
Cindy Miller : Thank you, Andrea. And just as a close, everyone listening on the call. As always, we appreciate your interest in Stericycle and your shared excitement for our future. So thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. And you may now disconnect.